Operator: Ladies and gentlemen, thank you for standing by. Welcome to Copa Holdings Second Quarter Earnings Call. During the presentation, all participants will be on a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this call is being webcast and recorded on August 4, 2016. Now, I will turn the conference call over to Raul Pascual, Director of Investor Relations. Sir, you may begin.
Raul Pascual - Investor Relations Director, Copa Holdings SA: Thank you very much, Carmen and welcome everyone to our second quarter earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings, and Jose Montero, our Chief Financial Officer. First, Pedro will start with our second quarter highlights, followed by Jose, who will discuss our financial results. Immediately after, we will open up the call for questions from analysts. Copa Holdings second quarter financial results have been prepared in accordance with International Financial Reporting Standards. In today's call, we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS financial measures can be found in our second quarter earnings release, which has been posted on the company's website copa.com. In addition, our discussion will contain forward-looking statement, not limited to historical facts that reflect the company's current beliefs, expectations and/or intentions regarding future events and results. These forward-looking statements involve risk and uncertainties that could cause actual results to differ materially and are based on assumptions that are subject to change. Many of these risks and uncertainties are discussed in our Annual Report filed with the SEC Now I'd like to turn the call over to our CEO, Pedro Heilbron.
Pedro Heilbron - Chief Executive Officer & Director: Thank you, Raul. Good morning to all and thank you for participating in our second quarter earnings call. I first want to congratulate all of our coworkers for their efforts during this quarter, in which we continue to operate in a soft yield environment. We started seeing some signs of improvement in demand. Your dedication and commitment keeps Copa at the forefront of Latin American aviation, especially during these more challenging times. As for the demand improvement, we believe that it's partly related to stabilization of regional economy and the strengthening of small Latin American currencies against the U.S. dollar, which translated into stronger late booking for the quarter. Just as important, our capacity discipline and commercial focus also paid off, as we saw a significant increase in load factors year-over-year. We also maintain industry-leading unit costs, even during a low growth year, while continuing to deliver the excellent and reliable products our customers have become accustomed to, banks slow this effort we were able to achieve this better and expected results. Among the main highlights for the quarter, our unit revenues decreased nearly 8% year-over-year, driven by 14% drop in yield but partially offset by an almost 5 percentage point increase in those factor. Nevertheless, we achieve lower unit cost as lower fuel prices will cast them down 5.5% from $0.091 to $0.086 and our CASM ex-fuel came in at $0.063 one of the lowest among four service airlines. This resulted in operating margin of 6.9% for the quarter down 2.2 percentage point from the second quarter 2015. Although single-digit margins might keep low compared to historical performance, please keep in mind our operating results include significant realized fuel hedge losses. In fact, excluding the impact of this hedges our operating margin would have increased by over 4 percentage point to over 11% a very good result in our low season quarter during a difficult year for our region on the operational front, we delivered on-time performance of 86.5% and a completion factor of 99.8% among the best in the industry. Now turning to the second half of 2016, although we continue to experience a sub-yield environment; especially in Brazil, Colombia and Venezuela, regional currencies have appreciated and late bookings are coming in strong, usually a leading indicator of improving demand. This stronger late booking and our discipline capacity approach lead us to expect higher year-over-year load factors mitigating the effect of lower yields, as a result our revenue outlook for the year has improved and we are updating our full year guidance to reflect the higher load factor, the higher corresponding RASM and operating margin. Despite our capacity rationalization we continue to look for opportunities to strengthen and complement our network and add unique market that log connectivity to our region. In June, we added two new destinations, Chiclayo in Perú and Holguín, our third city in Cuba. In July we began service to Rosario our third city in Argentina. These three new destinations have had a great start and continue to show strong book load factors for the coming months. In fact were already increasing Rosario to daily service starting November 1, 2016. In terms of fleet, in June we received one new Boeing 737-800, our only delivery for 2016. During the second half of the year, we expect to return two leased Embraer 190,to end the year with 99 aircrafts, one less than 2015. During the quarter, we also reach an agreement with Boeing to defer four additional aircraft scheduled for delivery in 2017. Thus we will now only received two Boeing 737-800 next year and return one leased aircraft. Once again taking advantage of the flexibility embedded in our fleet plan to adjust to an evolving demand environment. In July, we celebrated the first anniversary of the launch of our Clinic Maltreatment Fire program (06:45). We are pleased to report that consumer response has been very positive and we have surpassed our goals for enrollment and member adoption. As this program ramps up, we become more incurred by its potential. We also recently launched a renewed website and mobile app which provide our customers with an enhanced service experience and new features that should drive additional direct sales. Also during the quarter, we renewed our long standing alliance and codeshare agreements with United Airlines. Through this agreement, we extend and strengthened our strategic partnership by increasing our reach in the domestic U.S. destination, via codesharing, expanding our passenger bays via reciprocal SSD Corporation (07:35) and continuing several other mutually beneficial initiatives. Finally, I'm very proud to mention that a couple weeks ago we were recognized by Skytrax as a best earning in our region. While also earnings award for best airline staff and best regional airline, a true testament to the efforts of all of our coworkers and our focus on customer satisfaction. To summarize, the regional economic environment began stabilizing and we are starting to see some signs of demand improvement. We have been able to increase load factors and partially offset the ongoing sub-net in yields through a very practice and discipline approach to capacity as well as all those commercial actions. Our team continues to deliver world-class operational performance while achieving industry-leading unit costs. And lastly, we're more confident than ever in our business model and our financial position. We have the strongest network for travel within the America, an extremely flexible fleet plan, the lowest unit cost, a very strong liquidity position with low leverage and a highly committed team. So we're better positioned to come out stronger from this downturn and cautiously optimistic on the improving demand patterns. Now, I'll turn it over to Jose, who will go over our financial results for the second quarter in more detail.
Jose Montero - Chief Financial Officer: Thank you Pedro and good morning everyone. Thanks again for joining us. I want to join Pedro in congratulating our entire team and particularly highlight their focus, discipline and success in controlling our costs, which are a strong component of our company's corporate culture and have led us to continue delivering strong results. During the quarter, revenues decreased 8.2% year-over-year to $494 million. Yields were still under pressure coming in 14% lower than Q2 2015, mostly due to a continued yield softness in Brazil, Colombia and Venezuela. In order to adjust to this demand environment, we continued our capacity discipline strategy, slowing down growth and reducing capacity to the lowest performing markets, which produced an available seat mile contraction of 0.4% year-over-year for the quarter. This combined with an increase in revenue passenger miles of 6.2% resulted in a 4.9% increase in load factor, which averaged for the quarter a healthy 78.3% system-wide, especially good for a low season quarter. Due to this increase in traffic, our unit revenues came in better than expected, at $0.093. Our second quarter operating expenses decreased 5.9% year-over-year, and cost per available seat mile decreased 5.5% to $0.086 cents from $0.091 in the second quarter of 2015. The lower CASM was driven mostly by 21% lower jet fuel prices. For the quarter, our CASM ex-fuel came in at $0.063, even though our (10:43) decreased by almost 4% and our capacity was essentially flat year-over-year. These excellent results are a reflection of our continues work on our cost savings initiatives. In the second half, we expect to have a slightly higher ex-fuel CASM, given timing of certain expenses. As you can see the reliable delivery of our product with low unit cost continues to be one of our company's main focus areas and one of our core strengths. In terms of operating results, consolidated operating earnings for the second quarter came in at $34.2 million, representing an operating margin of 6.9%, 2.2 percentage points less than the 9.1% achieved in the second quarter of 2015. As Pedro mentioned, it is important to highlight these results include the negative effect of significant realized fuel hedge losses. Excluding these realized hedge losses, our operating margin for the quarter would have been 11.2% and a very strong 17% for the first half of the year. Adjusted net results, net earnings for the quarter came in at $54.5 million or earnings per share of $1.29, compared to last year's second quarter net income of $64.1 dollar or $1.46 per share. Excluding extraordinary items, and in the fuel hedged market to market gain of $40.6 million underlying net income for the quarter came in at $21.5 or earnings per share of $0.51, compared to last year's second quarter underlying net income of $41 million our adjusted earnings per share $0.93. With respect to fuel hedges, we haven't taking any new positions since July of 2015. We ended the quarter with hedges for 32% of our second quarter fuel volume. For the rest of 2016, we have 32% and 35% of projected volumes of Q3 and Q4, respectively, mainly using jet fuel swaps at an average equivalent price of $2.39 per gallon. So we continue to expect significant negative fuel hedging practice for the rest of the year. For 2017 our position remains unchanged with less than 6% of the projected volume covered with jet fuel swaps with an average price per gallon of $1.80. Turning now to the balance sheet, assets reached almost $3.8 billion at the end of the quarter. Owners' equity totaled approximately $1.7 million, debt plus capitalized leases totaled $2.1 billion and our adjusted net debt to EBITDA ratio came in at 2.8 times which continues to be the lowest in our period. In terms of debt we closed the quarter with approximately $1.25 billion in bank debt, about 60% of which is fixed-rate and the blended rate including fixed and floating rate debt of approximately 2.6%. Looking at cash, short- and long-term investments, we closed the quarter with 765 million, an increase of $41 million since the close of the first quarter which represents approximately 36% last 12 months revenues. In terms of fleet we ended the quarter with the fleet of 101 aircrafts, 64 737-800s, 14 723-700s and 23 Embraer 190. Year-to-date we have already taken delivery of one new Boeing 737-800. During the second half of the year, we expect to return two Embraer 190s to end the year with the fleet of 99 aircrafts, decrease of one aircraft compared to a fleet at the end of 2015. Finally as per our company policy on September 15, we will pay our third quarter dividend in the amount of $0.51 per share to shareholders of record as of August 31, 2016. Going back to our result into recap, the continued stabilization of currencies is contributing to improving air travel demand environment albeit that continued low yields. We are receiving significant benefit from lower fuel prices, continue delivering winning unit cost and continue to look for further efficiencies. We have a very flexible fleet plan which has allowed us to match our capacity to our current demand environment. And we continue having one of the strongest balance sheets in the industry. In terms of our guidance for full year 2016 based on our latest effects on demand environment and fuel prices we're updating our 2016 full year guidance as follows. We're maintaining our capacity growth in terms of ASMs to plus or minus 2%. We're increasing our load factor to plus or minus 79%, and thus are increasing our RASM guidance to plus or minus $0.098. We're maintaining our CASM ex-fuel guidance to plus or minus $0.064. We are lowering our fuel price assumption for the year to an effective price per gallon of $1.75 including into-plane and net of hedges and with respect to our operating margin we're increasing our guidance to a range of 11% to 13%. Thank you. With that, we'll open the call for some questions followed by closing remarks from Pedro?
Operator: Thank you. And our first question is from the line of Hunter Keay with Wolfe Research. Please go ahead Hunter.
Hunter K. Keay - Wolfe Research LLC: Hi. Thank you very much. Appreciate it. So it's a little bit unconventional for you guys to see the change in load factor guidance this month. So I am kind of curious to know what's driving that is it more – are you engaging and maybe some non-stop price simulation or are you maybe sort of using the Tocumen harbor a little bit more and flowing some more connecting volume over the hub to drive a little bit of load there. So could you give us some color in terms of what's driving the load factor higher that'll be great? Thank you.
Pedro Heilbron - Chief Executive Officer & Director: Yeah hi Hunter, Pedro here. I think the first thing to think about is that a capacity – we actually had negative capacity growth even though slightly in the second quarter whereas in like the previous five years that was being growing quite a bit, so we always have to deal with that increase capacity to all the additional fleet. So we've been a lot more disciplined in managing our growth for sure, but also in a low season reductions which have all been a bottom line positive. So, I would say that that's number one. Obviously, we are seeing a better demand environment going forward with the currencies and economies stabilizing. And we have also taken commercial actions if necessary so it will change the combination of the three factors.
Hunter K. Keay - Wolfe Research LLC: Okay. And then as you're seeing a little bit more rational competitive behavior from the industry down there, do you have an opinion on how permanent this is, in the sense that the type of capacity that's been taken out. Is there a risk that you see may be coming back or are you seeing maybe more long-term actions taken like planes being put down, airports being vacated, or do you feel like this is sort of more like utilization stuff that could come back in the event that things start to feel a lot better and may be for everybody as you look out over the next six months to nine months to 12 months? Thanks a lot.
Pedro Heilbron - Chief Executive Officer & Director: Yeah. In our particular case, we've made some decision that kind of forces us to be rational this year and next year. As I mentioned, we have defer aircraft deliveries so we are going to – our fleet has stayed pretty much the same, last year, this year, and next year. And we think most of our competitors, at least our regional competitors are doing something similar. So I would not expect any radical change from where we are right now, at least not this year and next year.
Jose Montero - Chief Financial Officer: Yeah. This is Jose, I think that the capacity kind of outlook that we're seeing, at least for now, it seems to follow what has being going on in the second quarter. And so it's kind of in line with what we have seen up to now in the second quarter.
Hunter K. Keay - Wolfe Research LLC: Thank you both.
Operator: And our next question is from the line of Savi Syth with Raymond James. Please go, Savi.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning everyone.
Pedro Heilbron - Chief Executive Officer & Director: Good morning, Savi.
Savanthi N. Syth - Raymond James & Associates, Inc.: Could you provide a little bit more detail on maybe between since Brazil, Venezuela and Colombia the ones that are seeing the most pressure, maybe how they progress through the quarter and maybe how they are looking on a go forward basis? I wasn't sure, if this kind of improvement is broad-based or is it certain markets are recovering faster than others?
Jose Montero - Chief Financial Officer: Savi, this is Jose. I think that we have seen it across the different markets where we operate and more anything on the traffic that we're seeing, more than on the yields. So we are still seeing some softness in the yield environment. I'd say Savi that the-- I want to stress the capacity disagreements, strategy that we have followed. I think due also to the fact that we have been very effective in our fleet flexibility and it's paying off and we are seeing it pay off in markets such as Brazil, for example, where traffic seems to be at least holding its own versus prior periods.
Pedro Heilbron - Chief Executive Officer & Director: And in terms of – Pedro here, sorry just to add in. We are seeing strong leg bookings so that makes it maybe a little bit harder to predict but if we go by the recent past, we would expect a yield to, let's say, start deteriorating and PRASM to maybe start improving towards end of the year, including in those markets that you just mentioned.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it. That makes sense. And then if I – just a follow on Hunter's question on the load factor. I don't think you have ever had – I think your guidance implies like 80% load factors in the second half and I don't think they've ever seen that. I think it's historically been 75% to high 70%. And I can understand your comments about slowing growth, does that allow you to do that? Is there something about market mix that might be helping, there is a little bit maybe a station just coming in and as things recover? What I am trying to understand is, do we go back to that, yields improve and we go back to that mid-70, high 70 level? Or do you think you figured out a way to better kind of fill up the aircraft through this downturn?
Pedro Heilbron - Chief Executive Officer & Director: Well, the thing is that, we have always been growing our hub quite a bit at a rapid pace at times. And it's a very strong hub. I mean we always advertise strength of our hub, the points we connect et cetera and this time alone we sub-improved. So we are growing actually nothing this past quarter and very little for the rest of the year. And I think what we are seeing is the power of the hub with very little growth reflecting into the load factor. So I think that has a lot to do with that, again, proactive actions will be taken to rationalize capacity and strengthen the bottom line. Going forward, again, it will depend on the opportunity but we are always managing PRASM and we are always managing our bottom line. So we will make the decisions that make us more profitable going forward that's the way we've always operated the airline.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay, helpful. Thank you.
Operator: And our next question is from the line of Ravi Jain with HSBC. Please go ahead.
Ravi Jain - HSBC Securities USA, Inc.: Hi, thank you. Just following up on Savi's question on Brazil, Colombia basic capacity cuts, but on the other hand, I think we have seen some capacity additions into Central America from both North America as well as South America. Have you seen some marginally yield pressures in Central America that will be my first question?
Pedro Heilbron - Chief Executive Officer & Director: Most of the capacity additions we've seen it don't really affect us that much or in markets where we don't really compete like U.S. to Central America we are not that active in that market. Although we do connect some via Panama. We're not really a big player in that market. I would say that net, net, we see more capacity reductions in market that we compete and the capacity ad having in markets we don't really compete. So now we are not seeing anything different from what would be living for year and a half due to everything we have talked about.
Ravi Jain - HSBC Securities USA, Inc.: Perfect. And just if another question if I may more on your hedging policy. Have you put some thought on at some point beginning to start protecting your 2017 exposure, either with different strategies like options et cetera, have you put some contribution? And love your thoughts on that.
Jose Montero - Chief Financial Officer: Yes. We haven't finalized our thought as around further hedging in 2017. As you know we have a big exposure for this year one third of a volume hedge and we will represent over $90 million of feedback for this year. And for 2017 we are still are reviewing what is the best option for us going forward.
Ravi Jain - HSBC Securities USA, Inc.: Okay. Thank you so much. That's helpful.
Pedro Heilbron - Chief Executive Officer & Director: Thank you, Ravi.
Operator: And our next question is from the line of Helane Becker with Cowen and Company. Please go ahead.
Helane Becker - Cowen and Company, LLC: Thanks very much operator. Hi guys, thank you for the time. I just have a question about I think Pedro you said that you are adding service to Rosario going to Delhi because the demand was so strong. Are there any other markets where you are seeing that kind of demand, that could support either, that could support more service? Or are there any other markets where you would have to think about reducing some service, maybe moving aircraft around some more?
Pedro Heilbron - Chief Executive Officer & Director: Right. So we're doing a lot of that in terms of analyzing our market and reducing service and even getting out of markets that are not producing and do not have a bright future. So we have been getting out of the market in the last few months, and we've also added others. So we're moving around our airplanes to make sure that again we strengthen our bottom line, and we take advantage of our vast network. So the answer is, yes, there are a few other markets where we could add frequencies. And we will probably disclose and you'll find out the minute we publish a new flight. But it's pretty much the same capacity. We're just moving it around to make sure it's more profitable.
Helane Becker - Cowen and Company, LLC: Got you. And then can you just give us an update on the airport construction? Because I think, for a while, it had stopped or maybe it had slowed. So I was kind of wondering if there is anything new there?
Pedro Heilbron - Chief Executive Officer & Director: Yeah. There are news there, good news. The construction, it did not totally stop, but slowed down quite a bit. While the airport what's being redesigned before the better the new construction and the airport authority was negotiating with the constructors the new design changes and the cost of it. So they have reached an agreement. It has been approved by the government. They issued a new bond recently. So they have the money, and the construction has restarted at full force and is now expected to be ready in the first half of 2018. However, this month, we've got eight new remote positions, which are from the new terminal. So they already habilitated eight new remote positions. And the plan is towards the end of next year, we will get to you some of the gates that are closest to the current terminal. So that is all going well, again.
Helane Becker - Cowen and Company, LLC: Great, okay. Thank you.
Pedro Heilbron - Chief Executive Officer & Director: Thanks, Helane.
Operator: And our next question is from the line of Michael Linenberg with Deutsche Bank. Please go ahead.
Michael Linenberg - Deutsche Bank Securities, Inc.: Hey, good morning, everybody. I have just a couple here. Just with respect to the change in guidance, the bump up in the loads, it seems like a pretty significant increase and yet no change to your CASM ex-fuel. And I'm just curious about what's the potential offset to the revenue-related cost that you would incur carrying, what seems to be a lot more passengers?
Jose Montero - Chief Financial Officer: Hey Mike, this is Jose here. We're comfortable with our $0.064 guidance. We're implementing quite a bit of efforts internally to ensure that are – we already – very competitive. At fuel unit cost remains the same. I mean we're overcoming initiatives and maintenance and airport, et cetera to ensure that we maintain the unit cost as they are. And so we're very confident of our $0.064, I hope we can achieve $0.064 for the year. It so it is, I guess a balance between the incremental passengers and savings that we have in our plans.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay great. And just with respect to fuel hedging, some markets fuel surcharges are common. Some they're not even allowed. What -- do you have a sense of what percent of your system where fuel surcharges are common place? And maybe even any markets that you serve where fuel surcharges are not allowed? They're illegal, which I'm not sure if there's actually any that you serve that fall under that?
Jose Montero - Chief Financial Officer: Yeah. I think that today Mike, there is really a very small minority of markets where fuel surcharges are prevalent. I think that with the few drops that occurred. It really – it doesn't represent a large component of airfare at least in this part of the world.
Michael Linenberg - Deutsche Bank Securities, Inc.: All right. Jose I think you misheard me, are there any markets where you can't have fuel surcharges as part of your pricing structure, whether a legal (30:25) like the U.S. domestic market is a good example of that?
Pedro Heilbron - Chief Executive Officer & Director: This is Pedro here, Mike.
Michael Linenberg - Deutsche Bank Securities, Inc.: Hi.
Pedro Heilbron - Chief Executive Officer & Director: There are some I believe, I think there are some markets they're not significant either. But in nowadays I mean, the way prices are displayed is that, we have to show one price. So it doesn't really matter that much if it's a fuel surcharge or not, it just passenger see one fare.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay then. Since just I have you just one other, in your press release, you call out weakness in Colombia, Venezuela and Brazil and yet Argentina right now. You could argue is in the midst of a recession June quarter should contract a few percent. I think most economists think that you're going to see contraction in the third quarter as well. And yet you didn't call that out as a weak market. And I'm just and you're adding service in new cities and upping frequency and so maybe there is a little bit of a financial renaissance going on here because things weren't allowed to behave. I guess, economically given the role of the previous government. So is that really what's going on here? Is that you sort of have this unleashing of demand and its more than compensating for the fact that the overall economic backdrop in Argentina is -- you could say, it's in a recession?
Pedro Heilbron - Chief Executive Officer & Director: Well yeah. We've just added one city, Rosario. We added four frequencies going up to daily in November. That's the only capacity we've added in over eight years. So even that is not that much when you think of the time that's gone by. So there is not a lot of new capacity in the market. And in terms of air travel, we have not noticed a significant drop in volume.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay, very good. Thank you.
Jose Montero - Chief Financial Officer: Thanks Mike.
Michael Linenberg - Deutsche Bank Securities, Inc.: Thanks Jose.
Operator: And our next question is from the line of Renato Salomone with Itaú. Go ahead.
Renato Salomone - Itaú BBA: Hi, Pedro, Jose. Could you please give us a color on the timing for the implementation of SabreSonic? I believe it's at some point next year. But how is that been looking? And also help us understand the opportunities that will come along with this platform and the evolution of Copa's new commercial strategy and the vision that Dennis Cary has brought to the team.
Pedro Heilbron - Chief Executive Officer & Director: Okay. So we expect to start reaping the benefits of our new CSS system in the second half of 2017. So by the second half of 2017, we should have most of the functionality that we do not have today. But I would say the bigger benefits will come in 2018, because 2017 will be kind of a pull up year. So in 2018 is when we expect to see the major benefit. We'll see some in 2017 for sure, but more in 2018. And the opportunities -- I will highlight two significant opportunities, which we cannot take advantage of today, for lack of a proper CSS system. One is fare family, so you've seen how airlines in other parts of the world, especially in the U.S. are being more competitive, taking some of their lower fares to a fare family grouping that allows to offer less fares. So that's something we cannot do today and should make us more competitive once we have our new CSS. And then the bigger opportunity with ancillaries. There is very little, almost nothing we can do with ancillary today and our ancillary revenue just a percent of the total it's very, very small. So we're going to able to double at least double that number in the coming years with the new CSS.
Renato Salomone - Itaú BBA: Okay, thank you. And if I may have a follow-up question with demand bouncing back and the liberty deferrals that you mentioned, how should we think of average aircraft utilization in the upcoming quarters potentially bouncing back from the low levels that we're seeing today?
Jose Montero - Chief Financial Officer: I think there is an opportunity for that going forward although, one of the things we're not going to worried very focused on that's part of our strategy is we're very active in the seasonal management of our network. And so I think that that's been our focus for now. I think as things stabilize, we will probably have opportunities to increase capacity in during the times of the year but I wouldn't necessarily see a large change in aircraft utilization, at least in the next six months to eight months.
Renato Salomone - Itaú BBA: And about – and for 2017, what's the average level that we can think of?
Jose Montero - Chief Financial Officer: It's so preliminary. I think we're still looking at our 2017 plan at such. I'd say that you could expect at least in, I would probably put it in terms of set of aircraft (36:04) still say that our aircraft is probably going to be growing at low single digits were for next year more than anything.
Renato Salomone - Itaú BBA: Thank you.
Operator: And our next question is from the line of Duane Pfennigwerth with Evercore ISI. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Thanks for the time. Could you go over your aircraft deliveries 2016, 2017, 2018 where the stand – sorry, if I am asking to repeat that.
Jose Montero - Chief Financial Officer: Yeah. So for this year we are at about end of the year about nine aircraft, which is a net drop of one aircraft versus where we ended in 2016. And then in 2017 ...
Duane Pfennigwerth - Evercore ISI: Sorry, sorry. What were the delivery so you've got some coming in and some coming out, I am trying to get to CapEx?
Jose Montero - Chief Financial Officer: Yeah. So it's – for this year we are taking delivery one 737-800 and returning two in work 190 aircraft. So with the net reduction of one aircraft for the year. And then for 2017 we will take delivery of two 737-800 and return one for Embraer aircraft. So that will have our next role of aircraft for the year of one. So we will end the year with 100 aircraft. And then in 2018, I think still preliminary we have still a lot of flexibility in the plan. We have first 737 MAX deliveries in the latter part of 2018. We have five deliveries coming in, but still in 2018 we have quite a bit of flexibility in terms of lease returns and deliveries. So that one I would probably say that it's still with automotive of upside or depending on how we see the environment.
Duane Pfennigwerth - Evercore ISI: So where do you see total gross CapEx aircraft and non-aircraft CapEx in 2017 and 2018?
Jose Montero - Chief Financial Officer: Okay. So 2017 our total CapEx – our cash CapEx is going to be...
Duane Pfennigwerth - Evercore ISI: No, sorry not cash, gross CapEx. I mean the value of the aircraft you're bringing on plus your non-aircraft CapEx?
Jose Montero - Chief Financial Officer: Yes. So that's about – north of $200 million for 2017.
Duane Pfennigwerth - Evercore ISI: And 2018?
Jose Montero - Chief Financial Officer: In 2018, it's going to be higher than that. It's going to be probably north of $300 million by 2018.
Duane Pfennigwerth - Evercore ISI: Okay. Thanks. And then what was the currency benefit to your non-fuel costs structure in the second quarter and how should we be thinking about the trajectory of your non-fuel costs. It looks like the schedules are showing you are modestly cutting capacity as we entered 2017, I don't know if those schedules are showing your modestly cutting capacity as we enter 2017. I don't know if those schedules are up to date but it looks like capacity growth might be down 1%, 2% early part of the next year. How should we be thinking about your non-fuel cost structure?
Jose Montero - Chief Financial Officer: I think the – for the full year 2017 as I mentioned earlier, I think that our capacity should be in the growth of low single-digits. And in terms of unit costs I would say at least for this year which for we're giving guidance. We are expecting it to be at $0.064. I don't envision them coming up actually envision them coming down. We're working very hard in terms of pursuing further opportunities. We also have larger portion of our fleet, its 700 to 800 which has a lower unit cost and then you are quite right that we operate. So we feel that they're pretty confident that of our level actual CASM execution that we have going forward even into 2017.
Duane Pfennigwerth - Evercore ISI: Great. And then just lastly, where do you see the kind of breakeven fuel price, net of your hedges? So you had some hedge losses this year. But let's say well its 50 bucks next year, is it is that even, is it 50, is at 45? Where did your fuel price sort of flat year-over-year in 2017? Thanks for taking questions.
Jose Montero - Chief Financial Officer: In terms of flat versus what Duane?
Duane Pfennigwerth - Evercore ISI: Versus 2016. So let's say if oil is 50 next year, is your fuel price flat, net of hedges?
Jose Montero - Chief Financial Officer: Yes, it should be around $42 per barrel. Yeah, that's basically around – low 40s should be a kind of average price and we're guiding for this year in term of rent. So that's kind of a figure.
Duane Pfennigwerth - Evercore ISI: Okay. Thanks for the time.
Jose Montero - Chief Financial Officer: All right.
Operator: And our next question is from the line of Dan McKenzie from Buckingham Research. Please go ahead.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Good morning, Pedro, your commentary on last minute demand was interesting, and I'm just wondering which countries specifically are you seeing that last minute booking strengthen? But I'm really trying to get a sense of here is just last minute demand for long haul versus short haul versus medium haul flying across your network?
Pedro Heilbron - Chief Executive Officer & Director: I haven't broken down that way right now. But from what we've seen its most market. I mean it's not a limited to a long haul or a short haul market. Some of the short haul markets that we operate have a higher percentage of business traffic and that's always going to have a shorter booking curve, that's normal. And so it's in the long haul market – or longer haul, not really long haul. It may be happening more than in the short haul market. It could have been used to it more as I mentioned before in those shorter markets with a higher percent of business traffic, but again it's not one particular segment. I think we're seen it throughout the network.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. And then maybe I can get a little bit differently here. How would you – as you look at the last minute booking strings today or at least in the second quarter. How would you characterize that relative to say if most of end markets weren't in a recession right now and it was sort of a decent economic backdrop? So, how would you characterize where we are in that that recovery continuum?
Jose Montero - Chief Financial Officer: Well, I don't know, this is Jose. I think that it is through the (43:24) way that we frame it, is that we are at least seeing that the there is no further worsening of the demand environment in order of the yield environment, but certainly still what we're seeing is that yields are still depressed versus prior year. But the traffic is responding very late into the booking curve. So, what that means is that there is a recovery, I think it's probably too early to tell. But at least what we're seeing is that there is no further deterioration of the environment.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Very good. If I could just squeeze one more in here Jose, what would be operating margin be in 2016, but for the other money, fuel hedge? And the reason I asked about the last-minute yields is, investors are really trying to understand what normalized margins for Copa could be over the cycle here? And historically, 2005 out of the IPO. They were consistently 18% to 20%. I don't know if you guys are willing to share, sort of, how you're thinking about that target over the course of the cycle here, but that's really where I was really trying to go with this all?
Pedro Heilbron - Chief Executive Officer & Director: Sure, Dan. Yeah, this is Pedro again. We think of the midpoint of our new operating margin guidance. The margin for 2016 without the fuel hedge losses would be 17%, one-seven. And this is a 17% and, obviously, a challenging year for the regional economy. So, it's a lot about the strength of our business model. And to that, then you can add in the coming years the potential of ancillary revenues, the SSP program maturing and some of the other initiative we're working on. So, I think we can get back to our averages.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Terrific. Thanks so much guys.
Jose Montero - Chief Financial Officer: All right. Thanks.
Operator: And our next question is from the line of Stephen Trent with Citi. Please go ahead.
Stephen Trent - Citi Investment Research: Hi, good morning, guys. And thanks for taking my questions. Most of mine have been answered, but just two follow-ups if I may. When you guys talk about boosting an ancillary revenue over the medium term, is there any kind of view from you guys with respect to whether the mix of your passenger flow should tilt little more towards leisure/PFR passengers versus business, in contrast to what it's been traditionally? Or do you not think that we should see any significant change in the mix?
Pedro Heilbron - Chief Executive Officer & Director: Yeah, Steven. I don't think we are expecting major changes from the normal mix of what we've had, I mean it's always going to change a little over time as we grow and depending in which markets we enter. But, we do not expect significant changes overall. And the potential and ancillary, there are a lot of opportunity to market I don't know what you call it, but a product that our passengers will be willing to pay for within the current mix of passengers we have.
Stephen Trent - Citi Investment Research: Got it, that's very helpful, Pedro. Thank you. And just one last question, when I think about your fleet over that next couple of years do you kind of have any general thoughts about what's optimal with respect to leasing versus buying. I want to say several years ago you guys had owned almost all the airplanes you and tilted a little bit towards lease maybe with some of the next-gen stuff coming. I would just like to get your thoughts on that. Thanks.
Jose Montero - Chief Financial Officer: Yeah, Steve. This is Jose. Our current makeup of the fleet is about two thirds owned and a third under operating leases. And we feel very comfortable with that for a couple reasons. One, it really has allowed us a lot of flexibility in the fleet plan. I think that's one of the most important highlights of our current strategy is that the fact that we have a set of aircraft under operating leases and they are under staggered expiration base has allowed us to shrink in and grow the fleet as the conditions warranted. So, it's a very important aspect and we feel that we will continue that going forward in the next couple of years.
Stephen Trent - Citi Investment Research: Okay, yeah. Very helpful. Thanks, Jose.
Jose Montero - Chief Financial Officer: Yeah.
Operator: And our next question is from the line of Juan Carlos Palazuelos from GBM (48:19). Please go ahead.
Unknown Speaker: Yes, hello. Thank you for taking my call. We have seen that in the last month, a lot of airlines have been leaving the Venezuelan market, while you have chosen to stay through. Could we get some additional color into that?
Pedro Heilbron - Chief Executive Officer & Director: Yes, Pedro here, Juan Carlos. In the case of Panama, Venezuela, it may be a little bit different than other market in the sense that there is a large Venezuelan community in Panama that travels often between our two countries. So there is a need for the service. Obviously yields have come down. It goes through cycles, short cycles for a few months it does well and then it struggles for another two months. So it's very erratic and hard to predict Venezuelan market right now. But we are keeping our head above water, I should say. Overall, we are not losing money. Although, it's not that we are making a lot of money either, but we are keeping our head above water and we are serving a very important market, which is, it's important now. It's going to be more important in the long run. So we made an effort to frame our capacity during the low season and manage it as better we can to keep a significant presence and continue serving a market, as I just mentioned, it's important for us.
Unknown Speaker: Okay, thank you. Also could we get some outlook on your ConnectMiles loyalty program for following years, please?
Jose Montero - Chief Financial Officer: Yes, Juan Carlos, this is Jose. For this year, the program, first of all, the program is progressing as we expected. This year it should be cash positive for the business around I would say more to between $10 million, $15 million positive for Copa Holdings from a cash flow perspective. And we expect it to from an accounting perspective, breakeven in 2018. So it is – just because of the accounting of loyalty programs, there is a lot of deferred revenue associated with it. Its 2017 where we expect to see breakeven from an accounting perspective.
Unknown Speaker: Okay so cue on one last question. So did you mention that deals continue to be weak for the second half of the year, but I was wondering if we should expect a recovery in 2017?
Pedro Heilbron - Chief Executive Officer & Director: This is Pedro. So yields will continue a week general term but less whole than in previous quarters, and we're expecting PRASM to actually to be positive towards the end of the year. And then for 2017, hopefully so we would expect as the economies have stabilize, we would expect yields to improve next year. But the interesting thing is that you know the way we're running the business in terms of a capacity, unit cost and managing for PRASM is that we feel that we can still shows strong result even in a weak yield environment.
Unknown Speaker: Okay. Thank you very much.
Jose Montero - Chief Financial Officer: Thanks.
Operator: And our next question is from the line of Lucas Barbosa from UBS. Please go ahead.
Rogério Araújo - UBS Brasil CCTVM SA: Hello. Thank you for the opportunity. Congratulations on the results, actually this is Rogério here. I have one question actually, is a follow-up from previous question on the guidance. When you do the calculations for the second half of this year we calculate that the RPM should increase by around 90% year-over-year, load factor increased 4.6 percentage points and yields when we adjust them seasonally for the quarterly seasonality. We think that yield should improve additional 10% in the second half versus second quarter for Copa to deliver its guidance authorized and a load factor. So basically what I would like to hear you is this calculation make in sales? And if there is new increase where do we expect this coming from, if it's mostly from Brazil. We know that capacity has been reduced drastically Brazil and if you can say how much do we expect international using Brazil to go up in the second half of the year? So, yes this basically it, if it's not only Brazil if you could speak a little bit about other regions as well? Well that's my question. Thank you.
Jose Montero - Chief Financial Officer: Yes. Very good. Indeed the implied second-half performance is not unlike what you are talking about and its driven mostly by the load factor gains, but you are also seeing a shortening of GAAP on yield versus first half of the year. So you are seeing essentially that there is a somewhat of an accretion in yields for the second half compared to those in the first half. Of course, you have to also consider that there is some seasonality involved in the second half is seasonally stronger that the first half. But indeed there is an improvement, a slight improvement in terms of yields, flow with the second half of the year visual we have in the first half. And where is that. I think that in general terms, it is across different markets that we have. I'd say that we're pleased by the capacity reductions that we've made in Brazil. And I think that the market is responding to those. Other markets I'd say are performing reasonably well in terms of both the traffic and at least the flattening out of the yields that what we're seeing in the very closing period. So I think that Brazil has an improved performance such that what we have seem prior. Mostly driven by capacity and I'd say that there's other regions that are kind of falling in line with that as well.
Rogério Araújo - UBS Brasil CCTVM SA: Okay. And do you think about after this improvement in Brazilian yields in second half versus first half, do you think we are going to reach an equilibrium already or there's more room for you to improvement in the coming year? Thank you.
Jose Montero - Chief Financial Officer: I think it's too early to tell. What we're seeing right now, at least, is – and the way that we're framing it is that it is a – we're seeing that the market has kind of stopped deteriorating. But it is too early to tell still. We're very, very keenly focused on our commercial and capacity actions throughout the network and in the Brazilian market as well.
Rogério Araújo - UBS Brasil CCTVM SA: Okay. Thank you very much. Congratulations again.
Pedro Heilbron - Chief Executive Officer & Director: Thank you.
Operator: And our next question is from the line of Michael Linenberg with Deutsche Bank. Please go ahead.
Michael Linenberg - Deutsche Bank Securities, Inc.: Yeah. Just a quick one here of Jose and you may have mentioned this, I apologize. Just your tax rate for the year, you were under 10% for the first half, similar tax rate for the full year or what should we use?
Jose Montero - Chief Financial Officer: Yeah Mike it should be between 10%, 11% for the full year. That's around where it should be.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay, great. Okay. Thanks Jose.
Jose Montero - Chief Financial Officer: Thanks, Mike
Operator: And our next question is from the line of Renata Stuhlberger with Goldman Sachs. Please go ahead
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Yeah, good morning Pedro, good morning Jose. This is actually Márcio Prado, two quick questions. One is a follow-up about the yields that you've just mentioned. When you look at the new guidance, I just wanted to confirm that most of the improvement coming from your new (57:04) guidance comes actually from the higher load factor, than actually an expectation of higher yields. And I just wanted to confirm that. I mean, we know that yields will improve, given seasonality, but I'm thinking of yields on a more normalized basis. And then still on that questions, what do you need to see in terms of like load factor for the market to start seeing yields increasing from this normalized level? And second question is more on the Panama market. I wanted to hear from you guys if there is any impact from the finalization of the construction of the second part of the Panama Canal (57:48) with regards to where traffic into and out of Panama? Thank you.
Pedro Heilbron - Chief Executive Officer & Director: Okay. So the answer to your first question is yes. To the second part of your first is, right now, what we're seeing is that the deterioration of yields has slowed down and continues to slow down in third quarter and fourth quarter. So maybe that trend is telling us that eventually we'll have pocketed yield growth. But right now it's slowing down the deterioration, which is very good. Most of the benefit does come from higher load factors, as you all mentioned. And in terms of Panama, so, yes, the new Canal inaugurated towards the end of June. So that's really a good news for the country. We're starting to see improved Canal revenues, which will mean additional resources for the government to invest in our economy. So Panama is today the highest or fastest growing economy in Latin America. And I think we have the means to keep that going in coming years.
Márcio Prado - Goldman Sachs do Brasil CTVM SA: Thank you, Pedro. Thank you for the answers.
Jose Montero - Chief Financial Officer: Thank you, Márcio.
Operator: And our last question comes from the line of Duane Pfennigwerth with Evercore ISI. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Hey thanks. I just wanted to follow up on the hedging. Do you have any sense for where your competitors or what you consider to be your competitors are hedged at this year? Are most of your competitors also above market?
Jose Montero - Chief Financial Officer: I don't have the full answer to that, Duane, but I would – I am sorry. I don't know. I guess that I'm really focused on our business. But I'd say that's more than likely from what we've seen. They have lower hedge positions than what we have. So I'd say that when we look at our numbers and when we look at our EBIT margin ex-fuel hedges, I'd say that the gap probably widens when you take out the hedges on our main competitors.
Duane Pfennigwerth - Evercore ISI: The reason I ask is because we've seen in other markets when folks are hedged above the market that's actually reflected in the pricing trends and when those hedges roll-off it can actually cause pricing to go down, not up as you suggest in 2017? And then the second question is, I thought Mike's question was very helpful about the full year tax rate. It certainly been bouncing around. But why do you have a 10% tax rate? Is that the corporate tax rate in Panama?
Pedro Heilbron - Chief Executive Officer & Director: Its figured here. No it's a combination of every country we do business in and it's just (1:00:52) a bit. So I mean it will take a while to go into the details but it varies a quite bit and for you to understand that Panama does not tax following income. So being based in Panama it has an advantage.
Duane Pfennigwerth - Evercore ISI: What is the corporate tax rate in Panama?
Pedro Heilbron - Chief Executive Officer & Director: 25%, if I am not mistaken?
Jose Montero - Chief Financial Officer: 25%.
Pedro Heilbron - Chief Executive Officer & Director: 25%.
Jose Montero - Chief Financial Officer: But remember it's a territorial tax regime.
Duane Pfennigwerth - Evercore ISI: Thanks for the time.
Jose Montero - Chief Financial Officer: Thank you, Duane.
Operator: And ladies and gentlemen, this concludes our Q&A session for today. I will turn the call back to Pedro Heilbron for final remarks.
Pedro Heilbron - Chief Executive Officer & Director: Okay. Thank you. This concludes our second quarter earnings call. We will be having our Investor Day on September 22 and 23. So hope to see some of you here in Panama. Thanks for your time. As always, thanks for your continued support. Have a great weekend.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the presentation. You may disconnect, and had a wonderful day.